Operator: Ladies and gentlemen, thank you for standing by, and welcome to the AMC Networks Third Quarter Earnings Release Conference Call. At this time, all participant lines have been placed in a listen-only mode, and the floor will be open for your questions after the prepared remarks. Thank you. It is now my pleasure to turn the call over to Seth Zaslow, Senior Vice President of Investor Relations. Please go ahead, sir.
Seth Zaslow - AMC Networks, Inc.: Thank you. Good morning, and welcome to the AMC Networks third quarter 2017 earnings conference call. Joining us this morning are members of our executive team, Josh Sapan, President and Chief Executive Officer; Ed Carroll, Chief Operating Officer; and Sean Sullivan, Chief Financial Officer. Following a discussion of the company's third quarter 2017 results, we will open the call for questions. If you don't have a copy of today's earnings release, it is available on our website at amcnetworks.com. This call can also be accessed via our website. Please take note of the following. Today's discussion may contain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Investors are cautioned that any such forward-looking statements are not guarantees of the future performance or results and involve risks and uncertainties that could cause actual results to differ. Please refer to the company's filings with the Securities and Exchange Commission for a discussion of risks and uncertainties. The company disclaims any obligation to update the forward-looking statements that may be discussed during this call. Further, we will discuss non-GAAP financial information. We believe the presentation of non-GAAP results provides you with useful supplemental information concerning the company's ongoing operations and is appropriate in your evaluation of the company's performance. For further details, please refer to the press release and related footnotes for GAAP information and a reconciliation of GAAP to non-GAAP information, which we'll refer to on this call. With that, I would now like to turn the call over to Josh.
Joshua W. Sapan - AMC Networks, Inc.: Thank you, Seth. And good morning, everyone. AMC Networks delivered strong financial performance in the third quarter, and we're pleased to say we are on track to meet our 2017 full year financial targets of total company revenue and adjusted operating income growth. Our CFO, Sean Sullivan, will address our financial results in more detail later on in the call. Our solid third quarter results reflect the consistent execution of our long-term strategy of investing in high quality immersive content. Our results highlight growing demand for our content among traditional distributors, virtual MVPDs, advertisers and consumers, and our ability to monetize demand for our content through new revenue streams. AMC Networks is we think better positioned than we've ever been to successfully navigate evolving changes in consumer viewing habits, and we see several indicators of the strength and vitality of our long term approach. One of our biggest strengths relates to what we think is a preferred position we hold within the evolving and diversifying cable ecosystem. This position is made possible by the combination of our commitment to creating top tier content and being at the right size at a very attractive price. It's become evident in recent months that having a sprawling portfolio of channels may not be the best approach to the new world we're facing. We resisted that temptation years ago to expand in size to 10, 15 or 20 networks, instead we focused on investing in great content and a very limited number of strong brands. Today, we enjoy a stable affiliate revenue outlook and our relationship with our traditional distribution partners has in many respects never been stronger or more expansive. We're very pleased with the recent debut of AMC Premiere, our new commercial free upgrade option that we launched for Comcast Xfinity TV customers. And through AMC Studios, we've partnered with Charter Communications in an unprecedented way to jointly create programming that will debut exclusively on Charter. And we look forward to announcing details around our first content collaboration pretty soon. These are just a couple of examples of how we are actively creating new businesses and content relationships with our cable partners that utilize both their strengths and ours. As virtual MVPDs gain traction with audiences looking for alternatives to cable, AMC Networks is one of the few channel groups that is being carried in nearly all these new packages. Again having a small well-priced collection of strong channels and brands has positioned us very well with virtual MVPDs, which need to provide must-have content as they look to grow their offerings. Advertising continues to be an area of opportunity for us, due to the appeal of our content and the premium environment of our networks. With AMC, the channel having four of the top seven dramas on ad-supported cable, we're in a unique position to offer advertisers new ways to market and reach consumers, something that we recently began to do by selling 6-second spots. This opportunity is getting a strong reception from the ad community including from brands such as Microsoft, who know our audiences consist of true fans who are deeply engaged with our shows. Ours are not passive viewers and advertisers place a premium on reaching them. AMC Networks strength is also evident as it relates to our direct-to-consumer businesses and interests. As viewers increasingly gravitate toward commercial free programming, we feel quite good about the investments we've made in two subscription video on demand businesses that we own called Sundance Now and Shudder. Shudder targets suspense, thriller and horror fans. We're also confident about the investments we've made in other services that we don't wholly own. These include the streaming services Acorn TV, Urban Movie Channel and BritBox, which we do with our partners at BBC and ITV. Our approach to our direct-to-consumer activities has been informed by the increasing appetite for the kind of high quality serialized dramas and comedies that we're known for, as well as the great potential of content that appeals to fans of more niche genres. We view ourselves as being somewhat uniquely capable of successfully inhabiting both the streaming over the top environment, as well as a more conventional linear environment something that will serve us very well as consumption of video across both traditional and new platforms continues to grow in new and different ways. Now, if I can take a couple of minutes of your time, I'd like to share a few highlights from across our channels. AMC's The Walking Dead recently celebrated its one 100th episode and eight season debut. 15 total million viewers watched the premiere. In demo, it was about twice the size of the next two shows on television, Big Bang Theory, and This Is Us, a two hour special of Talking Dead that followed was watched by 5 million total viewers for a couple of hours, including nearly 3 million people in the demo, quite a ratings achievement unto itself. The Walking Dead remains the highest rated program on TV for an unprecedented six years in a row. With the new season underway, we believe the show is creatively vibrant as ever and remains incredibly vital to an enormous and very loyal audience. But The Walking Dead for us is more than one show and the world of The Walking Dead is growing. As you know, it is has spawned the hit show Fear the Walking Dead, and we have plans for a crossover between the two shows to happen sometime next year. We have several gaming properties and virtual reality apps that are quite successful, and we have of course significant and expansive social media followings. So, it really is a franchise that continues to be embraced by a huge and growing fan base. And as we further expand this franchise and as we create new and different incarnations of it, we will continue to derive increasing value from it. We recently celebrated the series finale of AMC's Halt and Catch Fire, a critically acclaimed show about the early days of personal computing, which recently ended after four seasons. I think that it's worth noting that Halt and Catch Fire and other series that we own through AMC Studios give us the opportunity to aggregate a library of growing great TV shows. We've seen that many shows particularly serialized dramas are often rediscovered well after their initial launch and we believe a growing library of acclaimed shows will provide us with economic value over the mid and then increasingly over the long-term. AMC's upcoming slate of original series continues to demonstrate breadth and depth. The Terror is a gripping and imaginative new anthology series that blends historical fiction and horror. It stars Jared Harris, who is in Mad Men and The Crown; and Tobias Menzies, who is in Outlander and Game of Thrones. We're currently in production on a show called Lodge 49, which is a funny and poignant series executive produced by Paul Giamatti for AMC Studios. And a show called Dietland, which we think is a razor-sharp dissection of the beauty industry from the incomparable writer/producer Marti Noxon. Our association with Marti began back when she was a writer on Mad Men, her wonderful work as creator, writer, executive producer includes Girlfriends' Guide to Divorce, UnREAL, Buffy the Vampire Slayer, and many more well-known shows. At BBC America, the third quarter saw the series finale of Orphan Black, the extraordinary show that established the network as a home for bold storytelling. Another strong female-focused BBC American drama is the upcoming series called Killing Eve from Phoebe Waller-Bridge, who's the creator and star of Fleabag. And later this year, the historic franchise Doctor Who will introduce its first female Doctor. And early next year, BBC America will debut some of the most spectacular natural history programming ever made, with the latest installment of the Planet Earth franchise titled Blue Planet II. WE tv continues to have success in creating vibrant reality TV franchises, such as Marriage Boot Camp and its predecessor Bridezillas, which is returning next year after a several year hiatus. And Growing Up Hip Hop, which just completed its third season with strong performance and year-over-year ratings growth, is helping make WE tv the number one network on ad-supported cable on Thursday nights among African American women. At IFC, our relationship with the Comedy website Funny or Die is yielding benefits in multiple ways. Our first collaboration with Funny or Die was the wonderful comedy series Brockmire, starring Hank Azaria, which returns for a second season next year. And we recently introduced a Funny or Die branded block of programming on Saturday nights, a sort of comedy takeover on the IFC channel that we think brings the best of Funny or Die's editorial point of view to our IFC channel. SundanceTV continues to deliver the best in fiction and non-fiction storytelling. Upcoming from Joe Berlinger, the Academy Award-winning filmmaker, is a multipart documentary series that is playing festivals right now called Cold Blooded: The Clutter Family Murders. It is a gripping investigation into the events memorialized by Truman Capote's book 50 years ago, In Cold Blood. And at our global business, we're very pleased with our international investment, and as our expansion continues, with launches into new territories in West Africa and across Central and Eastern Europe. Part of our strategy outside the U.S. is to expand our global platform so that our produced shows that we own can either air on our own AMC channels and/or be sold to other entities. And that platform is expanding as we continue to invest in it. As you may know, in terms of financial reporting, we aggregate our international businesses with our other activities, including our digital direct-to-consumer initiatives, Sundance Now and Shudder, that I mentioned earlier. Our prudent investment in these brands is enabling us to continue to make progress on these initiatives, and diversify our business with new revenue streams outside of the linear business. So as we look ahead to the fourth quarter and well beyond, we are confident that our fundamental approach of creating great content and viewer engagement puts us in a strong position that will ensure success over the long term. Thanks for listening. Thanks for your time. Now I'd like to turn the call, if I may, over to Sean Sullivan for an update on our financial performance.
Sean S. Sullivan - AMC Networks, Inc.: Thanks and good morning. As Josh highlighted, we're quite pleased with our results in the third quarter and our performance through the first nine months of the year. We remain on track to meet our targets for the full year. And I'll touch on the outlook for Q4 in more detail after reviewing the third quarter results. In the third quarter, total company revenue grew 2%, and AOI grew 19%. Adjusted EPS was $1.68. For the nine months, total company revenue grew 3% and adjusted operating income increased 5%. Adjusted EPS was $5.68. Year-to-date, we've generated $196 million in free cash flow. With respect to the performance of our operating segments at the national networks in the third quarter, revenues increased 3% to $541 million. AOI was $200 million, an increase of 23% as compared to the prior-year period. Advertising revenues increased 5% to a total of $198 million. Strong pricing and the timing of our originals more than offset lower delivery. Distribution revenues at the national networks increased 2%, to a total of $344 million. As expected, affiliate fee growth in the quarter was in the mid-single digits. As Josh highlighted, we believe that we have unique strength and positioning with our distribution partners, and this will serve us well as the pay TV ecosystem continues to evolve. As for the non-affiliate revenue component of distribution revenue, we saw a year-over-year decline, due principally to the timing of licensing of our scripted original programs in various ancillary windows, most notably the SVOD availability of Rectify at SundanceTV. Our results were lower than anticipated. We continue to expect the licensing of our content to be a significant contributor to top-line growth, and anticipate that non-affiliate revenue growth will accelerate significantly on a sequential basis in the fourth quarter of this year. Moving to expenses, total expenses decreased 6%, or $21 million, versus the prior year period, mainly due to timing. Technical and operating expenses decreased 6%, to $251 million. The variance principally related to a decrease in program rights amortization, in particular, we recorded $8 million in program write-offs in the current quarter, as compared to $19 million in the prior year period. SG&A expenses were $103 million in the third quarter, or flat versus the prior year period. The results primary reflected a decrease in marketing costs due to the timing of originals, offset by an increase in other G&A costs. Moving to our International and Other segment, in the third quarter, International and Other revenues decreased $1 million to $113 million. AOI was $8 million, a decrease of $3 million versus the prior year. Revenues reflected the absence of DMC, the Amsterdam-based technical operations facility that we sold in July, partially offset by growth at our international networks. Adjusted operating income in the third quarter reflected the decline in revenue, as well as increased investments in our various digital initiatives. Moving to EPS; for the third quarter, EPS on a GAAP basis was $1.35 compared to $0.91 in the prior year period. On an adjusted basis EPS was $1.68 compared to $1.19 in the prior year. The year-over-year increase in both GAAP and adjusted EPS, principally reflected the increase in AOI as well as the impact of our share repurchase program. In terms of free cash flow, the company generated the company generated $196 million in free cash flow for the nine months ended September 2017. Through nine months, tax payments were $181 million, cash interest was $65 million, capital expenditures were $62 million, and distributions to non-controlling interests were $16 million. Program rights amortization for the nine month period was $667 million and program rights payments were $720 million, resulting in a use of cash of $53 million. This compares to use of cash for programming of $75 million in the prior year period. Turning to the balance sheet. As of September 30th, AMC Networks had net debt and capital leases of $2.6 billion. Our leverage ratio based on LTM AOI of $912 million was 2.9 times, unchanged from the end of the second quarter. In terms of capital allocation, our primary focus remains investment in our core business as we will – believe this will allow us to continue to grow adjusted operating income on a sustainable basis. We will continue to be disciplined and opportunistic in our use of capital for both repurchases and non-organic investments. During the quarter, the company repurchased $102 million of stock, this represents approximately 1.8 million shares. Subsequent to the end of the quarter, the company has repurchased an additional $48 million or approximately 869,000 shares. As of last Friday, the company had $382 million available under its existing authorization program. Program to-date, we've repurchased approximately 15% of our outstanding shares. We will continue to be opportunistic in the use of our share repurchase program and we continue to believe AMC is an attractive investment alternative given our growth profile. Beyond that, we're consistently evaluating ways where we can be opportunistic, but disciplined in the use of capital with our focus being on how best to generate the greatest value for our shareholders over the long term. So, looking ahead for the full year 2017, we continue to expect to achieve total company revenue and adjusted operating income growth within the previously communicated low to mid single-digit range. And at the National Networks, we continue to anticipate managing this segment to a margin that's largely consistent with 2016. At our International and Other segment, we continue to expect a modest year-over-year decline in terms of absolute dollars in both revenue and adjusted operating income. With respect to the fourth quarter at the National Networks we expect both revenue and AOI to be relatively flat year-over-year subject to the performance of our original shows and the current advertising market including scatter. In terms of revenue, we expect distribution growth to be offset by advertising. Within distribution revenue, we expect non-affiliate fees to be the more significant driver of growth in the quarter due to the timing of availability of our content in ancillary windows. In terms of affiliate revenue, we continue to expect mid single-digit growth. At our International and Other segment, we expect revenue to be relatively flat with the prior year period and AOI to be down modestly in terms of absolute dollars year-over-year. As for 2018, we'll have more to say on our next call, but we feel good about how the business is positioned for continued growth. So, in closing we're pleased with how the businesses are performing and are excited about how the company is positioned as we look ahead. So with that we'd like to move to the question-and-answer portion of the call. Operator, if you could please open the call to questions.
Operator: Thank you. Our first question comes from the line of John Janedis of Jefferies.
John Janedis - Jefferies LLC: Thank you. Maybe just one from me, you talked about high quality programming, Josh, and as you know ratings have been a theme across the industry, so can you talk about your longer-term programming strategy? Do you think any more original hours across your entire group, and based on your comment about being the right size, does that suggest you're going to continue to invest across all the networks, or do you pull back and focus on just two or three networks?
Joshua W. Sapan - AMC Networks, Inc.: Right. You had a lot of important questions. I think just to restate, we do think that, the core of what we do is based in quality programming that really does have high demand and is not casually experienced by people, and that is just a pause on it, fairly different than a lot of other cable channels across the spectrum. We think that, I'll answer broadly, if I may, that our ability to sustain that as our ecosystem evolves calls for a number of things, some of which we've moved well ahead on, some of which we have areas to go forward in, and that includes having number one international channels that we can distribute our content on. We now have an AMC channel around the globe and the AMC channel as a home for the content that we produce, so that helps with scale, number one. Number two, we've set ourselves up as a "studio" and what that means is that we're increasingly owning the shows we make. That's an important distinction versus licensing the shows from another owner, because what it means is when we make our show, we have a sales plan for that show that has United States distribution so-called syndication revenue and worldwide distribution syndication revenue and that all goes into supporting the manufacturing or the production of the material that we do. So, those two changes in our so called architecture are very important to make increased and growing investment in content, something that provides a return. I think in terms of the size, we think that in the U.S. where we have five channels, we are the right size. We think we're programming at roughly the right level for in terms of film and original programming and other television programming for each channel which we of course look at every day in a certain sense every moment, that's the bread and butter of our business. So, we think we are balancing it all the time and rebalancing it and tweaking it and we're optimizing it. I guess, it's good to point out if I may that the ratings at a couple of other channels, not AMC, have been up, BBC America and Sundance over the last year. So, we're seeing that both the content that we're putting on and the manner in which it's being scheduled is providing a return and is working in an environment in which there have been some headwinds. So, I think that I will try and sum up so I don't go too long, I think that that's the system. I think we've got the right number of channels. We'll keep tweaking the amount of content that we invest in and make as consumption alters and as our various methods of monetization evolve and that's our plan.
John Janedis - Jefferies LLC: All right. Thank you very much.
Operator: Our next question comes from the line of Michael Morris of Guggenheim.
Michael Morris - Guggenheim Securities LLC: Hi. Thanks, guys. Two questions if I could. One, can you talk a little bit more about the importance of providing consumers with an ad-free option as you've started with Premiere? Based on what you're seeing now, would you expect to expand the content on the service, as well as the relationship that you have with current or maybe new distributors? And then second, if I could on The Walking Dead franchise, Josh, I think you've spoken in the past about the lifetime value of the franchise, something that expands just beyond, perhaps letting the show run its course. How do you think about – and obviously the ratings are the still strong on a relative basis, but how do you think about managing it creatively? We've seen other franchises kind of go off the air for a while, then come back again renewed. How are you thinking about that as you look at the show now? Thanks.
Joshua W. Sapan - AMC Networks, Inc.: Sure. So I'll answer if I may, Mike, the second question first. The use of the word franchise, we don't take lightly. It's not a sloppy casual word. And the difference between franchise and a TV show is very meaningful by degree. So I think we all know what successful franchises are in the genre world. One can point to them easily. They oftentimes live for a very long time. They have incarnations and reincarnations, they come back, they take pauses, characters move from one editorial line to the other. They jump around, they create intrigue, and they really do become a bit of the part of the social fabric of life that is more than a TV show. I'll resist pointing to the most notorious ones we all know what they are, because they are indeed iconic and I'm not necessarily suggesting that The Walking Dead will be that or that. But after eight years and after 100 episodes, with the fan zealotry that we have, we do truly believe in two shows on the air that we really have a franchise that needs to be managed as a franchise. And we'll point just one no doubt to you that's to my mind illustrative. Two weeks ago, we were at the Greek Theatre in Los Angeles for the 100th episode, when I don't know if you ever watched the show, when some of the dead people who were killed off series came back. There were 6,000 people sitting, and most importantly 6,000 people sitting at the live Greek Theatre. Most importantly, there was about 2 million to 3 million people who watched that live show for two hours. That is a number that if you look at live television is a big, big number. It's a demonstration of interest and enthusiasm that's either 2 times, 3 times or 4 times what you'll see on talk shows that are in late night or primetime, and that lasted for two hours. So, forgive me for carrying on about it, but the notion of franchise is important, because it means that we're going to manage it creatively for the very, very long-term, and we're not going to run around with week-to-week numbers that cause us to do something that's editorially disturbing. So, I'd like to think that The Walking Dead is in great shape, and the people who are managing that great shape are motivated and are extraordinarily talented, and that we have these worlds coming forward that are going to be ever more interesting. Further, there's a whole group of people now who are working on the manifestation of that world beyond television. Obviously in social media, but significantly in gaming and in virtual reality and other new forms of consumption that occur, as well as merchandising. So we think that if we take a very careful approach to franchise management, and we've studied the best, we've really taken the time to study how the best have been done which, as we all know, some have been around for an extraordinarily long time, 30 years, 40 years, 50 years. We have the chance of a lot of life in this franchise, and we've already seen consumption and enthusiasm from what we think is reasonably good creative execution in its eighth year, I think it was a dramatic opening, and a great 802, (29:40) as we call it. To the first part of your question, Michael, if I may, we're very interested in complementing our base business with, not only content ownership, but with ad-free products, if you can call them. So I think in my prepared remarks, I mentioned a list of five or so that we are in business in, both at our own hand, Sundance Now and Shudder, and through investments or deals that we've made with others, BBC, ITV, an investment in a company that operates Acorn and BritBox, and in AMC Premiere, we like them all. They're growing well. People are signing up. We're managing those businesses and getting better at that. And so, we see that as a very significant part of our future potentially, not only domestically but globally, as our reservoir of content increases and increases. And we believe that, because of the nature of the material we have, we will be able to live on both sides of the so-called fence, and that is not to say that it will always be exactly the same content. We will make adjustments to what people want in each circumstance, and price will matter a lot. We all know that $9.99 is different than $6.99 is different than $4.99, et cetera. We all know that something that streams into your house on the Internet has a different net effective price than when it comes into your house as part of a cable bundle, where it may be discounted, and those things will all influence the manner and approach we take to our content manufacturing and the development of our of our commercial free brands, and the manner in which they're brought to consumers.
Michael Morris - Guggenheim Securities LLC: Thank you, Josh.
Operator: Our next question comes from the line of Michael Nathanson of MoffettNathanson.
Michael B. Nathanson - MoffettNathanson LLC: Thanks. I have one for Josh and one for Sean. So Josh, a question I wanted to (31:49) ask you about is margins, and I know the pride in which both you and Sean take in managing the business to large and consistent margins year-over-year. But I wonder like, given what looks like a cutting of marketing expenses year-to-date and the rising intensity of dramas, if that strategy of basically trying to manage to neutral change in margins is something that can hurt long-term competitiveness, I wonder, how do you think about that? I know you don't have unlimited – the ability to keep driving investments like you know, higher and higher, I guess, you have to be gated by something, but how do you think about the need to hit margin targets versus the marketing spending and programming spending? And that's one. And for two, Sean, I guess I was surprised this quarter by the cash flow generation, so if you could talk a little bit about what happened on the amortization versus cash expense line this quarter versus previous quarters, because expenses were definitely better than we thought, but cash flow was a little bit worse? So, that's my question to Sean.
Joshua W. Sapan - AMC Networks, Inc.: Sure. Hey, Michael. Yeah. So I think, we – I think we're guided by making the best product, and bringing the best product to market in the most captivating and efficient way, I mean it. So that means that we want to make the best shows, of course we pay a lot of attention to what they cost, and partners can help bring down that net effective cost, tax advantages can help bring that – down that net effective cost. I was just in Atlanta, where I was able to visit, as it turns out, five shows that we had in active production. And we're in Georgia in part because – no small part because the tax-friendly environment for making television, so The Walking Dead, Hap and Leonard, Lodge 49, our new show, Growing Up Hip Hop, and Brockmire, were all in production at the same time. I point that out because we're managing costs and we're getting, I think, better at managing cost through partnerships, through taking advantage of tax opportunities, where they are. And then in the last subject, and it won't be definitive, not a definitive comment and that is the manner in which we market, and it is a bit of a different game today to bring a new show to a screen. There are more options, there are more screens, there are more devices, it is not like it used to be. Now that can argue for, oh, you have to spend more, or it can argue for you have to spend differently, more wisely, and more creatively. We put a lot of weight on the latter. We think that referral is probably the new strongest form of sort of television show introduction, meaning I'll say it enigmatically a friend told you to watch it. And we think that data and analytics can guide us, because they're available like never before to actually target people at the right moment of decision in their sort of life to bring them to the television screen, when we want them or to bring them back, when we want them. So, there's some efficiencies that we can gain, if we pay attention to all this and manage it more effectively. Where that lands on margin is not a specific answer, it's just to say that that as the world gets more competitive, which it is and as some television shows get more expensive and some of them are indeed, although new dramas are not necessarily because no one knows it will succeed, there are some efficiencies that you can find as you navigate and do things differently, and that just allows us to be mindful and embracing of where (36:00).
Michael B. Nathanson - MoffettNathanson LLC: Okay.
Sean S. Sullivan - AMC Networks, Inc.: And Michael just on the free cash flow generation, again I think we feel very good about what we've generated year-to-date. I think, the key drivers to your question are primarily income taxes which I talked about what our cumulative payments have been to-date versus last year. So, that's an unfavorable comp, some of that is 2016 taxes that were deferred and paid in 2017. As you know, quarter-to-quarter with the timing and delivery of shows, we continue to invest and I don't think we've ever been accused of under investing in programming and programming rights, and we'll continue to do that. So, changes in programming rights and changes in working capital is why you're seeing some variability in the cash flow quarter-to-quarter. But at the end of the day, we continue to generate strong free cash flow conversion against the AOI and we think the free cash flow yield here is one of our great attributes.
Michael B. Nathanson - MoffettNathanson LLC: Okay. Thanks, Sean. Thanks, Josh.
Operator: Our next question comes from the line of Marci Ryvicker of Wells Fargo.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. The guidance you gave for full year 2017, you gave a range of low-single-digits to mid-single-digits for revenue and AOI growth, but you're so close to the end of the year. So, I guess what would cause you to comment at the low end versus the high end? And then a quick follow-up, I don't know if I missed it, but do you have any comment on subscriber trends? Thanks.
Sean S. Sullivan - AMC Networks, Inc.: Yeah. Thanks, Marci. In terms of the range, I think again we're 30 days into the quarter. I think, we would prefer to leave it at what we said. I think I've given you fairly decent information as it relates to the fourth quarter. Obviously, we have some big programming activities occurring most notably The Walking Dead, we have two weeks. We don't have any C3 data yet, as it relates to The Walking Dead and the two episodes that have run. So, that obviously is the biggest variable in the quarter that will cause me to resist giving you anything more specific to what I already said.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay.
Joshua W. Sapan - AMC Networks, Inc.: And Marci, I'll – if I may, I'll try and answer your questions on subscriber trends. I don't know how broadly you intended it to be asked, but the things that certainly command our attention are the summer in the overall pay TV United States system. The erosion of so-called basic cable subscribers, which has been occurring. I don't know, if you're describing this gradually, but it's certainly been occurring, in its peak, it has been and someone could probably answer this more authoritatively than me, it would be a better student. But it's about somewhere around half of it has been offset by the growth in internet delivered television offerings from the likes of Sling, (39:01) Vue, DIRECTV Now, YouTube, Hulu, et cetera. So, that's a sort of macro phenomenon going on. It's hard to predict where that will all go. It's probably a subject for almost a different category of businesses that you follow. And someone might be as I said more authoritative than me. I'm somewhat encouraged just on that macro trend about these so-called virtual MVPDs or Internet delivered television opportunities, because I do think in aggregate they're offered at a much lower price than one initially experiences in conventional cable. And, so we think that that advantages our company because we have five strong channels and we perhaps have the best price not insubstantially relative to what other packages of channels are offered for. So if you're the person who has to actually make one of those things succeed and you're counting subscribers day by day, I think, you'll like AMC Networks a lot because you get points of passion in the content and you get the best price available anywhere, which means that you can find margin, if you are offering not a $90 package at retail, but $50, $40, $30 or less. So we think we're structured and organized well for that trend. A second thing, if I may, just unique to us which is not macro is that we've had the opportunity to work with our MVPD partners to get our channels more widely distributed through the arrangements that we've made. And so I think, in last year AMC Networks added about 15 million subscribers, now that's, I would say, perhaps unique or radical in today's basic cable world, radical. And those 15 million subscribers didn't come by accident, they came by plan, and they came by work, and they came by agreement with our MVPD partners. And so that to me, you asked the trend that's the trend we've had a lot of growth in the last 12 months.
Marci L. Ryvicker - Wells Fargo Securities LLC: All right. That was perfect. Thank you.
Operator: Our next question comes from the line of Todd Juenger of Sanford Bernstein.
Todd Michael Juenger - Sanford C. Bernstein & Co. LLC: Well. Hi, thanks for taking the question. Sean, probably I'll keep it to one, and it's somewhat mathematically heavy. I apologize, and that's at the risk of making a horribly embarrassing math mistake here live on the air. So, I'm going to do it anyway. So, here it goes. If I think about your Q4 revenue guide for National Networks, I think, the distribution side probably gets to a mid high single-digit growth rate year-over-year. I think you said flattish overall. So, that probably means advertising down mid to high single-digits if that math were to hold. You can correct me if I did anything horribly wrong there. My question – and that's in a quarter where we have a new season of The Walking Dead on air. So, I guess my question is, well, A, if I made a horrible mistake, please correct. But B, as we think about 2018, and I know you're not prepared to really talk about 2018, but we have to model it. I'm sure you'd like to get back to an advertising growth number next year. But how could that – what are some things that would make that possible either on an audience front or demand front, given that Q4 math. Would just love to hear you talk about the ups and downs in that. Thanks.
Sean S. Sullivan - AMC Networks, Inc.: Yeah. Thanks, Todd. Again, I won't give you a direct response. We're not going to provide any new numbers, I unfortunately won't participate in the mathematical exercise here on the phone with you. I think what we said is what we said. So, we feel very good about how 2017 is shaping up. We feel great about where we're positioned in the ecosystem and beyond. We feel very good about the ability of AMC Networks to continue to drive revenue and AOI growth. But we're going to resist talking about 2018 until the next time we're together in February, and I think, we'll leave it at that.
Todd Michael Juenger - Sanford C. Bernstein & Co. LLC: Okay. Fair enough. I don't want to be a (43:46), but since I got pretty quickly shutdown on that. Let me try another one that you probably won't answer. Is there any directional commentary you're willing to provide on just how ad revenue is apportioned across your various networks? I know you won't tell us specifically, but we have audience information, so is the right way to think about the proportion of ad revenue is relatively the same as the proportion of audience contribution per network, one might think AMC Network might command premium CPM, so it would be higher, if you'll engage on that one would love it, and that I leave it to that? Thanks.
Edward A. Carroll - AMC Networks, Inc.: Hey, Todd, it's Ed. So, I would say in quoting your question, you could use that as a rough guide. We certainly do enjoy pricing premiums on our scripted originals, and it's worth noting that the audience, the 18 to 49, and the audience of scale that we're attracting on AMC Networks as Josh mentioned, we have four of the top rated seven dramas on ad-supported cable, that is increasingly a rare commodity. Outside of sports, you don't find it, so marketers know this, people who are in charge of growing their brands, who are selling their products know it and so it does put us in a special place in the market. The other thing probably, we're talking about with BBC AMERICA, for example. We have been able to integrate that ad sales, so we go out together. So, we're not only selling the scripted content on AMC when we go to an upfront marketplace, we're also selling the high quality scripted drama on BBCA and on IFC and on Sundance at the same time. So, I think that has offered us both in theory and in practice a strategic advantage if that helps.
Todd Michael Juenger - Sanford C. Bernstein & Co. LLC: That does. Thanks, Ed. I appreciate it. Thanks everybody.
Operator: Our next question comes from the line of Ben Swinburne of Morgan Stanley.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thanks. Good morning. Josh, I wanted to just come back to your point about thriving on both sides of the fence or cohabitating, however you've phrased it, OTT and traditional. In two aspects, one around licensing your product and second about some of these showrunner deals we're seeing happen on the digital side. You guys have a big licensing business, I think it's hundreds of millions a year at this point. But there's definitely growing nervousness around syndication and demand for content in a second window. So, I'm just curious if you could address what you guys are seeing in the market. I know you have output deals, but just broadly and globally how you see that developing over time if you're bullish there? And then on showrunner deals, you look at what happened with Shonda Rhimes in Netflix, Amazon's done some, you can imagine Apple and Facebook with their cash flows doing similar type deal to lockup top showrunner talent, you know, as someone who lives in and thrives in the high-end scripted drama market. Is this a trend that is good to add for the industry or AMC Networks or you're indifferent too. What do you think the ramifications of all those are?
Joshua W. Sapan - AMC Networks, Inc.: Sure. So, I'll try and answer that second one first. You know, I think that there is certainly more interest on behalf of the ever-expanding, you can now call it video-interested industry, in getting content that captures the attention, imagination, and attachment of people. I think – I'll pat us on the back a bit and say that we've had a fairly good run at commanding that attention, relative to the number of hours that we put out. I think we've been a pretty good participant in that. I think the variable of – this occurred – this has been occurring for some time, the phenomenon of deals with creative people, that they perhaps came more to light in a couple of news items that occurred recently. You mentioned Shonda Rhimes and perhaps one or two others, but it is the case that television studios, for the longest time, have had what are often referred to as housekeeping deals, overall deals, and/or development deals, each of which is different, with creative people. And sometimes they're absolutely exclusive, sometimes they're defined in their exclusivity. It is actually not a new phenomenon, so it's not taking us by any surprise, and we work with a number of creative people on an ongoing basis whose work we like, and who we think can contribute to us – and we do that both people who write and develop and actually people who run shows, and they're sometimes two different things. So we have those relationships. We're not in particularly the business of publicizing them and carrying on about them, it's just part of the fabric of our everyday activity. I think, and I'll just make one comment about it. And so I think – I hope we have appropriate reverence for people whose creative track record is established, because they often have a sort of creative ability that yields again and again and again. And I'd also say that there are ever, in an ever-increasing number of new voices and talents who come from the world, sometimes of theater, who come from the world of movies, who come from the world of television writers' rooms. So, just as an illustration, just – my trip to Atlanta, because I mentioned it, Hank Azaria is an actor, but he had had this character of Brockmire in mind for a long time. We have an equity relationship with Funny or Die, that show came to us from Funny or Die and from Hank. And so, I think we have an ongoing relationship with Funny or Die, that's brought, actually, a tremendous number of things to television screens that are drop dead wonderful. There was a guy named Jim Mickle who did a movie that we distributed called Cold in July, and it was sort of a pulpy indie film. And so we found our way to Hap and Leonard really through Jim, and through admiration for his work. I think The Walking Dead story probably speaks for itself. We became involved with it some nine years ago, when it was passed on or dismissed by multiple networks around the industry. And we went forward with Paul Giamatti and his producing partner Dan Carey to do something called Lodge 49 that was written by a short story writer named Jim Gavin whose work we admire, and while Paul and Dan have done a number of movies and good TV shows, they're certainly not extraordinary marquee names in the television production business, although of course Paul is an extremely well known actor, but they have great, we think, capability. So, that just gives you a feeling for the way I think things actually work, which is, you can't go sign everybody up and hold them on your side of the world and win the game, you have to participate in multiple ways, and we are participating in multiple ways. On the first part of your question, as to being on both sides of the inside and outside of the ecosystem, I just would cite what we've done to-date, which is we're participating in five or six streaming services that people pay a fee for. And each of them has had, on a trend basis, pretty good growth over the past 12 and 24 months. So we're pleased with the development of each of them, it's a bit of a new world for us. We have AMC Premiere within the ecosystem with Comcast Xfinity, and that is now several weeks in existence. And we will undergo an evolution, ultimately, through and with all these different services, some of which will have, I think, mild left turns and some of which may have radical right turns, depending upon how the world moves. I think – this is going to sound like a complicating factor, I hope I don't just confuse you. The management of our rights as it relates to those entities is guided by contracts that we have at MVPDs, and of course by business opportunity. So, we will continually evaluate, when a deal is up with an SVOD service that's not one that we're a participant in, whether it makes sense to continue to go forward with them or to deploy our content toward any one of those services that we are a participant in. And we'll actually continue to evaluate whether a service that might be on the Internet-only could then be offered through the cable system, through the cable world. We've certainly seen that phenomenon occur very recently and actually aggressively. So, much to be determined about how we go forward. I do think it's fair to say that obviously these steps are not accidental. We have a lot of manufacturing over, $1 billion a year, it's high quality. We have linear channels that are a good supporter of that system, that's our primary place of business and our bread and butter. We have a studio functionality that is increasingly making more of the stuff that we play. And now we have half a dozen streaming services that are commercial free that we are participants in in various degrees with and without partners, and that are expanding overseas. We're now in some of them in Canada, the UK and Germany. So that all occurs of course through a strategy, through a plan and through implementation, that's where we are in evolution today part of it, and we'll continue to make those decisions and continue to adjust where the weight and dollars go depending upon where opportunity is.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thank you.
Seth Zaslow - AMC Networks, Inc.: Operator I think we have time for one last question please.
Operator: Our final question will come from the line of Alexia Quadrani of JPMorgan.
Alexia S. Quadrani - JPMorgan Securities LLC: Hi. Thank you. Just a quick question on the advertising. I think you're doing some 6-second ads, 6-second spots on The Walking Dead. I guess, any commentary on how that's going? Is there demand from advertisers kind of the opportunities for maybe other places you can do the same sort of thing? And I know, one of your peers earlier this morning mentioned that scatter was down year-over-year, any color, I guess, you can give on the scatter market will be appreciated? Thank you.
Sean S. Sullivan - AMC Networks, Inc.: Sure. Generally, I would say, we see the scatter market as stable and we continue to see we are getting increases in pricing. On your question about the 6-second, yes, our sales team looks for innovative opportunities, and to sort of punch through in the marketplace with our marketing partners. I think Josh mentioned in his remarks that Microsoft was one of the participants. There are others queued up. And so, yeah, where we can be creative and opportunistic, we will do it, and we want to be very respectful of the content, we don't want to be intrusive on the content. So, we'll continue to walk that balance, but I would say on the whole, the idea has been received very warmly.
Alexia S. Quadrani - JPMorgan Securities LLC: Thank you.
Joshua W. Sapan - AMC Networks, Inc.: All right. Well, thank you everyone for joining us on today's call and for your interest in AMC Networks. Operator, you can conclude the call.
Operator: Thank you, ladies and gentlemen. This does conclude today's third quarter 2017 earnings conference call. You may now disconnect and have a wonderful day.